Operator: Good day, and welcome to the Monster Beverage Company Second Quarter 2021 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Rodney Sacks, Co-CEO, to begin the call. Please go ahead.
Rodney Sacks: Good afternoon, ladies and gentlemen. Thank you for attending this call. I’m Rodney Sacks. Hilton Schlosberg, our Vice Chairman and Co-Chief Executive Officer, is on the call; as is Tom Kelly, our Chief Financial Officer. Tom Kelly will now read our cautionary statement.
Tom Kelly: Before we begin, I would like to remind listeners that certain statements made during this call may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Act of 1934, as amended, and are based on currently available information regarding the expectations of management with respect to revenues, profitability, future business, future events, financial performance and trends, as well as the future impact of the COVID-19 pandemic on the company’s business and operations. Management cautions that these statements are based on our current knowledge and expectations and are subject to certain risks and uncertainties, many of which are outside the control of the company that may cause actual results to differ materially from the forward-looking statements made during this call. Please refer to our filings with the Securities and Exchange Commission, including our most recent Annual Report on Form 10-K filed on March 1, 2021, including the sections contained therein entitled Risk Factors and Forward-looking Statements, for a discussion on specific risks and uncertainties that may affect our performance. The company assumes no obligations to update any forward-looking statements, whether as a result of new information, future events or otherwise. I would now like to hand the call over to Rodney Sacks.
Rodney Sacks: Thank you, Tom. The company’s top priority remains the health, safety and well-being of its employees. The company’s flavor manufacturing facilities, its co-packers, warehouses and shipment facilities have operated throughout the COVID-19 pandemic. The company’s bottlers and distributors are operating, and the company’s products remain generally available to consumers. In limited countries, the operations of the company’s bottlers and distributors have, in part, been negatively affected for varying periods of time. Despite the ongoing impact of the COVID-19 pandemic, the company achieved record second quarter net sales. Currently, the company does not foresee a material impact on the ability of its co-packers to manufacture and its bottlers and distributors to distribute its products as a result of the COVID-19 pandemic. The company’s supply chain remains largely intact. However, the company continues to experience shortages in its aluminum can requirements in the United States and EMEA, given the company’s volume growth and the current supply constraints in the aluminum can industry. The company is also experiencing delays in procuring certain ingredients, both domestically and internationally. As a result, the company was unable to fully satisfy demand in the 2021 second quarter in the United States and EMEA. We expect such challenges to continue for the next few months. The company has taken steps to source additional quantities of aluminum cans from the United States, South America and Asia. The company has entered into new supply agreements with two new aluminum can suppliers in the United States, and which are expected to be operational in the 2021 fourth quarter. We expect deliveries of additional quantities of cans increasing sequentially during the latter part of the year. Logistical issues, including shortages of shipping containers and port of entry congestion could delay ongoing international supply of aluminum cans. Separately, we are continuing to experiencing – experience freight inefficiencies as well as significant increases in domestic and international freight costs and like other beverage companies are incurring increased aluminum can and other costs in the current environment, all of which in addition to other factors, will continue to adversely impact gross margin percentages. In the second quarter of 2021, net sales were $1.46 billion, compared with $1.09 billion in the second quarter of 2020, an increase of 33.6%. Adjusting for foreign currency movements, net sales for the 2021 second quarter would have been up 30.1%. Gross profit as a percentage of net sales for the 2021 second quarter was 57.2% compared with 60.3% in the 2020 second quarter. The decrease in gross profit as a percentage of net sales for the three months ended June 30, 2021, was primarily the result of geographical sales mix and increased input costs, mainly increased raw material freight in costs and aluminum can costs. Operating expenses for the 2021 second quarter were $310.9 million, compared with $252.2 million in the 2020 second quarter. As a percentage of net sales, operating expenses for the 2021 second quarter were 21.3%, compared with 23.1% in the 2020 second quarter. Operating income increased 29.1% to $526 million, up from $407.3 million in the second quarter of 2020. Net income increased to 29.7% and to $403.8 million compared to $311.4 million in the 2020 comparable quarter. Diluted earnings per share for the 2021 second quarter increased to 28.6% to $0.75 from $0.59 in the second quarter of 2020. According to the Nielsen reports for the 13 weeks through July 24, 2021, for all outlets combined, namely convenience, grocery, drug, mass merchandisers, sales in dollars in the energy drink category, including energy shots, increased by 14.2% versus the same period a year ago. Sales of the company’s energy brands, including Reign were up 8.6% in the 13-week period. Sales of Monster were up 11.1%. Sales of Reign were down 6.1%. Sales of NOS decreased 4.1%. And sales of Full Throttle increased 7.9%. Sales of Red Bull increased 15.3%. Sales of Rockstar decreased by 15.7%, and sales of 5-Hour increased 8.5%. VPX Bang sales increased 20%. According to Nielsen, for the four weeks ended July 24, 2021, sales in dollars in the energy drink category in the convenience and gas channel, including energy shots in dollars increased 7.4% over the same period the previous year. Sales of the company’s energy brands, which include Reign, increased 3.6% in the four-week period in the convenience and gas channel. Sales of Monster increased by 5.8% over the same period versus the previous year, Reign sales decreased 6.8%, NOS was down 10.7%, and Full Throttle was up 13.2%. Sales of Redbull were up 9%. Rockstar was down 18.6%, and 5-Hour was up 3.2%. VPX Bang sales increased 12.2%. According to Nielsen, for the four weeks ended July 24, 2021, the company’s market share of the energy drink category in the convenience and gas channel, including energy shots, in dollars, decreased 1.3 points to 36.5%. Monster share decreased 0.4 of a share point to 30.6%. Reigns decreased 0.4 of a share point to two points – sorry, 2.4%. NOS’s share decreased 0.5 of a point to 2.7%, and Full Throttle share remained at 0.7%. Redbull’s share increased point – six points to 37.4%. Rockstar’s share was down 1.2 points to 3.8%. 5-Hour share was lower by 0.2 points at 4.6%. VPX Bang share increased 0.3 points to 7.6%. As previously reported, Coca-Cola Energy is being discontinued in the United States and Canada by the end of 2021. According to Nielsen, for the four weeks ended July 24, 2021, sales in dollars in the coffee plus energy drink category, which includes our Java Monster line in the convenience and gas channel, increased 4.2% over the same period the previous year. Sales of Java Monster, including Java Monster 300 were 5.9% higher in the same period versus the previous year. Sales of Starbucks Energy were 0.4% higher. Java Monster share including Java Monster 300 of the coffee plus energy category, which primarily includes Java Monster, Java Monster 300, Starbucks Doubleshot and Tripleshot, Rockstar Roasted and Bang Keto Coffee for the four weeks ended July 24, 2021, was 51.9%, up 0.9 of a share point, while Starbucks’ energy share was 45.5%, down 1.7 points. According to Stackline, which tracks energy drink sales by Amazon in the United States, in the four-week period ending July 3, 2021, sales in dollars in the energy category by Amazon, including energy shots increased to 104.5% over the same period the previous year. Sales of Monster increased 59.9%. And its share was 28.1%, down 7.8 share points versus the same period a year ago. Red Bull sales increased 109.4%, and its share was 16.6%, up 0.4 points. Celsius’ sales increased 133.1%. And its share increased 1.8 points to 14.3%, 5-Hour sales increased 40.9% and its share declined 1.3 points to 2.9%. VPX Bang sales increased 216.1% and its share increased 1.8 share points to 5.2%. Reign’s share decreased 0.1 of a share point to 5.3%. Rockstar’s share increased 0.9 of a share point to 3.9%. According to Nielsen, in all measured channels in Canada, for the 12 weeks ended June 19, 2021, the energy drink category increased 17.9% in dollars. Sales of the company’s energy drink brands increased 28.3% versus a year ago. The market share of the company’s energy drink brands was 41.5%, up 3.4 points. Monster sales increased 18.3%, and its market share increased by 0.1 of a point to 35.4% – sorry, 35.4. NOS’ sales increased 12.6%, and its market share decreased 0.3 of a point to 1.9%. Full Throttle sales decreased 2.1%, and its market share decreased 0.1 of a point to 0.6%. Red Bull sales increased 18.1%, and its market share increased 0.1 of a point to 38.7%. Rockstar sales decreased 8.6%, and its market share decreased 3.3 points to 11. 4%. GURU’s sales increased 35.9%, and its share increased 0.5 of a share point to 4%. According to Nielsen, for all outlets combined in Mexico, the energy drink category increased 45.2% for the month of June 2021. Monster sales increased 38.7%. Our market share in value decreased by 1.3 points to 27.2% against the comparable period the previous year. Red Bull sales increased 41.4%, and its market share decreased by 0.2 of a point to 6.5%. Vive 100 sales increased 30.2%, and its market share decreased by 2.4 points to 20.5%. Volt’s sales increased 41.1%, and its market share decreased 0.5 of a share point to 18.5%, while Boost’s sales increased 15.7%, and its market share decreased 1.3 points to 5.1%. Amp’s sales increased 91.9%, and its market share increased 4.4 points to 17.9%. Predator, which was launched in March 2020, achieved a market share of 3.1%. The Nielsen statistics for Mexico cover single months, which is a short period that may often be materially influenced positively and/or negatively by sales in the OXXO convenience chain, which dominates the market. Sales in the OXXO convenience chain in turn can be materially influenced by promotions that may be undertaken in that chain by one or more energy drink brands during a particular month. Consequently, such activities could have a significant impact on the monthly Nielsen statistics for Mexico. According to Nielsen for the month of June 2021 compared to June 2020, Monster’s retail market share in value increased in Argentina from 40.1% to 46.9% and in Brazil from 29.6% to 35.4%. In Chile, Monster’s retail market share decreased from 45.7% to 41.9%. Monster Energy continues to be the leading energy brand in value in Argentina. I would like to point out that the Nielsen numbers in EMEA should only be used as a guide because the channels read by Nielsen in EMEA vary from country-to-country and are reported on varying dates within the month referred to from country-to-country. According to Nielsen, in the 13-week period ending July 18, 2021, Monster’s retail market share in value as compared to the same period the previous year grew from 34.2% to 37.4% in Spain. According to Nielsen, in the 13-week period to the end of June 2021, Monster’s retail market share in value as compared to the same period the previous year grew from 14.5% to 15.3% in Germany, from 18.4% to 19.4% in Poland and from 18.4% to 20.1% in South Africa. According to Nielsen, for the 13-week period ending June 20, 2021, Monster’s retail market share in value as compared to the same period the previous year grew from 12.5% to 16.2% in Belgium, from 24.2% to 25.3% in Denmark, from 25.8% to 28.2% in France, from 25% to 29% in Great Britain, from 6.7% to 8.4% in the Netherlands, from 27.1% to 31.2% in Norway, from 25.6% to 29.3% in the Republic of Ireland and from 13.4% to 14.5% in Sweden. According to Nielsen, in the 13-week period until the end of May 2021, Monster’s retail market share in value compared to the same period the previous year grew from 13.3% to 14.5% in the Czech Republic, from 35.1% to 37.9% in Greece and from 16.6% to 29% in Italy. According to Nielsen, in the 13-week period until the end of May 2021, Predator’s retail market share in value as compared to the same period the previous year grew from 5.1% to 17.3% in Kenya and from 0% to 8.1% in Nigeria. The Nielsen numbers in EMEA should only be used as a guide because the channels read by Nielsen in EMEA vary from country to country. According to IRI in Australia, Monster’s market share in value for the month ending June 2021 increased from 11.6% to 14% as compared to the same period the previous year. Mother’s market share in value decreased from 13.3% to 11.6% during the same period. The market share of the company’s brands in Australia for the month ended June 2021 increased from 24.9% to 25.5%. According to IRI in New Zealand, Monster’s market share in value for the four weeks ended July 11, 2021, increased from 9.9% to 12.4% as compared to the same period of the previous year. Live+ market share in value remained the same at 6.9%, and Mother’s market share in value increased from 6.2% to 6.3%. The market share of the company’s brands in New Zealand for the four weeks ended July 11, 2021, increased from 23.1% to 25.6%. According to Nielsen, in South Korea, Monster’s market share in value in all outlets combined for the month of June 2021 increased from 53.3% to 61.9% as compared to the same period in the previous year. According to INTAGE, in Japan, Monster’s market share in value in the convenience store channel for the month of June 2021 was 50.6% as compared to 51% in the same period the previous year. Monster remains the market leader in Japan. We again point out that certain market statistics that cover single months or four week periods may often be materially influenced positively and/or negatively by promotions or other trading factors during those periods. Net sales to customers outside of the U.S. were $546.3 million, 37.4% of total net sales in the 2021 second quarter compared to $328.3 million or 30% of total net sales in the corresponding quarter in 2020. Foreign currency exchange rates had a positive impact on net sales in the U.S. dollars by approximately $38.6 million in the 2021 second quarter. Included in reported geographic sales are our sales to the company’s military customers, which are delivered in the U.S. and transshipped to the military and their customers overseas. In EMEA, net sales in the 2021 second quarter increased to 105.7% in dollars and increased 86.5% in local currencies over the same period in 2020. Gross profit in this region as a percentage of net sales for the second quarter was 39.8% compared to 38.1% in the same quarter in 2020, primarily due to a favorable country and product mix. We’re also pleased that in the 2021 second quarter, Monster gained market share in Belgium, the Czech Republic, Denmark, France, Germany, Great Britain, Greece, Italy, the Netherlands, Norway, Poland, the Republic of Ireland, South Africa, Spain and Sweden. In Asia Pacific, net sales in the 2021 second quarter increased 5.2% in dollars and decreased 0.1 of a percent in local currencies over the same period in 2020, largely due to sales in Japan and China. Gross profit in this region as a percentage of net sales was 44.4% versus 43.3% over the same period in 2020. In Japan, net sales in the 2021 second quarter decreased 15.1% in dollars and 13.9% in local currency, largely due to COVID-19 restrictions in Japan and distributor inventory adjustments. Depletions increased 7% during the quarter. Monster remains the market leader in Japan for the month of June 2021. In South Korea, net sales increased 63% in dollars and 50.4% in local currency as compared to the same quarter in 2020. In China, net sales decreased to 21.4% in dollars and 27.8% in local currency as compared to the same quarter in 2020. In this regard, we note that sales in the second quarter of 2020 included the initial launch of Dragon Tea. We are reevaluating the viability of this SKU and the optimal product range for China going forward. We remain optimistic about the prospects for the Monster brand in China. In Oceana, which includes Australia, New Zealand, Tahiti, French Polynesia, New Caledonia, Papua New Guinea and Guam, net sales increased to 146.5% in dollars and 98.2% in local currencies. Sales of the Monster brand in Oceana increased 210% in dollars and 155.6% in local currency as compared to the same quarter in 2020. In Latin America, including Mexico and the Caribbean, net sales in the 2021 second quarter increased to 119.7% in dollars and increased 117.6% in local currencies over the same period in 2020. Gross profit in this region as a percentage of net sales was 40.7% compared to 41.2% over the same period in 2020, primarily as a result of foreign exchange rates and certain raw materials and ingredients for products in this region are purchased in U.S. dollars. In Brazil, net sales in the 2021 second quarter increased by 194.9% in dollars and 201.7% in local currency. Net sales in Chile increased 77.5% in dollars and 52% in local currency in the 2021 second quarter. Net sales in Argentina increased 291.4% in dollars and 458% in local currency in the 2021 second quarter. In March 2019, VPX, the maker of Bang Energy drinks, sued Monster, alleging that its Reign products infringed VPX’s Bang trademarks and trade risk. A trial was held last year. And on August 3, 2021, the court issued an order denying all of VPX’s claims and holding that VPX is entitled to no relief whatsoever. In fact, the court specifically found that VPX copied its bank trade risk from the original Monster Energy cans. The court’s decision confirms that Monster and Poland retail partners are free to continue to sell our Reign products without any changes and without any restrictions. Monster always believed and maintained that VPX’s claims were frivolous, and we are extremely pleased that the court rejected all of VPX’s claims while vindicating Monster’s rights. As other pending proceedings with VPX are subjudicate, we will not be answering any questions on this matter on today’s call. Our new product introductions in the United States in the first half of 2021 were primarily focused in the first quarter. In the United States, during the second quarter of 2021, we refreshed our can graphics on our Rehab Monster brand family as well as our Full Throttle line, also updating the name for Blue Agave to TrueBlue. Monster Energy Ultra Fiesta received a refresh and updated can graphics as well as the name change to Monster Energy Ultra Fiesta Manga. In May 2021, we launched Monster Ultra Fiesta in a 24-ounce option with an update to our Ultra Fiesta Manga plan for later this year. We are in the process of launching a new line of non-alcoholic pure energy sales under the True North brand name in 12-ounce sleek cans, which contained an organic plant-based energy blend and ingredients for immunity support. True North is being offered in six flavors, Cucumber Lime, Black Cherry, Grapefruit Lemonade, Water Mellon Mist, White Peach Pear and Mandarin Yuzu. True North has a limited customer target in 2021 with plans for a full launch into mainstream channels in 2022. While cognizant of the can shortages, we believe that it is important to continue with our innovation plans. And to this end, we will be launching our new flavors reserve line of Monster Energy drinks in Water Mellon and White Pineapple in October 2021. We have deferred the launch of our new line of Java Monster Cold Brew Coffee+ energy drinks until early 2022. In Canada, during the second quarter, we launched two new products: Monster Punch Papillon and Monster Punch Khaotic, both in a 473 ml can. In April 2021, we launched Reign Orange Dreamsicle in Puerto Rico and our second SKU in Bolivia with Monster Energy Zero Ultra. In El Salvador, we launched Fury Mean Green in May 2021. In the second quarter of 2021, we launched Juice Monster Pacific Punch and Monarch in a number of countries in EMEA. We also launched Ultra Paradise and Ultra Fiesta in a number of countries during the quarter. During the quarter, we also launched our strategic brand innovation and Predator in additional countries. In January 2021, we launched Ultra Rosa market-wide in Australia, following an exclusive lead launch with one chain in the fourth quarter of 2020. In March 2021 in New Zealand, we launched Monster Superfuel in both Purple Passion and sugar-free flavors. During the 2021 second quarter in Japan, we launched Monster Energy Super Cola with our distributor, Asahi Soft Drinks. Additionally, we effected the relaunch at retail of Ultra Paradise and began shipments in anticipation of the launch of Super Fuel early in the 2021 third quarter. Super Fuel has just gone on the shelves in Japan this week. We also launched Mango Loco in Korea in July 2021. During the 2021 second quarter, we launched Pipeline Punch in Taiwan, Hong Kong and Macau. We also began distribution of Monster Energy Zero Sugar in the Philippines. As previously mentioned, in the second quarter of 2021, in China, we extended the national rollout of our new Monster Dragon Gold, which is non-carbonated. Our national summer on-pack promotion began in May with one of China’s top consumer ambassadors. As a result of the COVID-19 pandemic, certain of our planned launches and innovation of new products in a number of Asia-Pacific markets have been deferred for a few months. However, we still anticipate such launches taking place toward the end of the 2021 calendar year. We are planning to launch a number of additional products and product lines in our domestic and international markets later this year. We estimate that July 2021 sales to be approximately 1.8% higher than in July 2020. On a foreign currency adjusted basis, July 2021 sales would have been comparable to the July 2020 sales. July 2021 had one less selling day than July 2020, which was 15.8% above July 2019, and which was 17.1% higher on a foreign currency adjusted basis. Certain production facilities, mainly from the Coke bottlers in EMEA, in particular, delayed production from July to August 2021. Furthermore, as mentioned earlier, the company has not been able to fully satisfy demand in the United States and EMEA due to a shortage of aluminum cans, which adversely impacted July sales. Such shortage was exacerbated in July as can availability did not keep pace with increased demand during the summer months. Additional cans have been sourced from domestic and overseas suppliers with expected deliveries increasing sequentially during the latter half of the year. We are working to replenish system inventories in order to meet customer demand as soon as possible. Additionally, the company also experienced delays in certain ingredients, which impacted supply. Our depletions remain solid as do our measured market data, as previously mentioned on this call. In this regard, we caution again that sales over a short period are often disproportionately impacted by various factors such as, for example, selling days, days of the week in which holidays for, timing of new product launches, and the timing of price increases and promotions in retail stores, distributor incentives as well as shifts in the timing of production in some instances where our bottlers are responsible for production and unilaterally determine their production schedules, which affects the dates on which we invoice such bottlers as well as inventory levels maintained by our distribution partners, which they alter unilaterally for their own business reasons. We reiterate that sales over a short period such as a single month should not necessarily be imputed to or regarded as indicative of results for a full quarter or any future period. If the COVID-19 pandemic and related unfavorable economic conditions continue in certain regions, our new product innovation launches in those regions could be delayed. In conclusion, I would like to summarize some recent positive points. Currently, the company’s flavor manufacturing facilities, its co-packers, warehouses, and shipment facilities, and bottlers and distributors are all operating. We are continually addressing our aluminum can requirements, given our volume growth and the current supply constraints in the aluminum can industry. We are pleased with the new additions to the Monster Energy portfolio and are planning additional launches later in the year. We are planning to continue additional launches of our Reign Total Body Fuel high-performance energy drinks in additional international countries. We are pleased with the rollout of Predator and Fury and our affordable energy drink portfolio internationally. We are proceeding with plans to launch our affordable energy drinks in a number of international countries during the year. I would like to open the floor to questions about the quarter. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question will come from Dara Mohsenian with Morgan Stanley. Please go ahead.
Dara Mohsenian: Hey, guys.
Rodney Sacks: Hey, Dara.
Dara Mohsenian: Great top line growth in the quarter, but we have seen share losses in U.S. track channel data worsened recently. A, just short-term, how much of that do you think is attributable to out of stocks and the supply constraints that you mentioned? Is that a material factor in retail sales? And then maybe, B, from a longer-term standpoint, it has been a couple of quarters now where the share losses have reaccelerated year-over-year, just some progress in the beginning of the year. So, I was just hoping you could review some of the key factors that have been driving the share losses in the U.S.? And how you think about those factors going forward in terms of continuing or dissipating and how you guys are positioned? Thanks.
Rodney Sacks: Hilton, if you take that, and I’ll also say something once you’ve…
Hilton Schlosberg: All right. I think, Dara, what’s important is that, that’s not a result and not due to us not growing. We are not keeping up with our share, but our business is certainly growing. And you can track that from Nielsen. You can also track that from the non-measured channels, which are growing really very nicely. So while we’re not keeping up necessarily with Red Bull in the major channels. As I’ve spoken on previous calls, Red Bull had a very large on-premise business, which has moved to off-premise and moved to off-premise during COVID. And that led to an acceleration in their share. However, we mentioned that we had and are continuing to sustain can issues and result in supply. And of course, that’s having an impact on the share numbers that you are seeing. So I think on balance, the business is growing. You’ve seen the results. It’s continuing to grow. And we are growing, but not at the extent of the market. I think with the full deck of cards, the situation may well be very different. But right now, we really are struggling with sufficient supplies of aluminum cans really to keep up with demand, which is, I suppose, a good position to be in. And on the other hand, is not such a good position to be in. The business is growing. And, that’s the message I want to leave you with and other investors.
Rodney Sacks: I think in – I’ll just add two short points in that regard. I think what we’ve tried to do is to try and also basically focus on our faster selling and our larger SKUs, which has necessarily resulted in some of the smaller SKUs, which normally have their own traction and followers. So those haven’t got on to shelf. And then the one additional thing that I think that has negatively affected our distribution sales and distribution levels in the U.S. is labor shortages. And I think that what we’ve seen is that many of the bottlers, Coke bottlers are experiencing labor shortages. And while one would ordinarily say, well, everybody is going to have the same problem. I think that where you have Red Bull is our main competitor, they have a dedicated system. I think they’ve been able to address their labor shortages just more effectively than the larger bottlers with large labor pools. And that has also, I think, detrimentally affected our distribution levels going forward. But again, I think those are things that once things start settling down and things will get back to normality, that’s something that I think that will also, in due course, right itself.
Hilton Schlosberg: Yes, I think we should also – Dara, I think we should also add that what we’re seeing with cans is something that will persist through this year. I’m a bit more optimistic about the fourth quarter because we have two new can suppliers coming on board. But the situation will persist. And then make sure, we should be in – we believe we’ll be in very good shape. But again, it all depends on consumer demand, which is growing, and you’ve seen that month-by-month and quarter-by-quarter.
Operator: And the next question today will come from Bonnie Herzog with Goldman Sachs. Please go ahead.
Bonnie Herzog: Thank you. Hi, everyone. I just wanted to ask about your gross margins. Clearly, they continue to be pressured as broadly expected, which you guys have been discussing with us. But just want to get your outlook for these pressures in the back half of the year? Hilton, you just mentioned that you’re optimistic. So just wanted to verify that you still expect some of these pressures to ease by Q4? Or do you think it’s going to take a little bit longer, especially in light of the recent spike in aluminum prices. So trying to understand how that factors in? And then just a clarification on the can shortages that you mentioned that you’re still experiencing, I guess, it sounds like it’s getting worse, but I really did want to clarify that. And is there any way that you guys could quantify how big of an impact the supply shortages had on your top-line either in the quarter or in July? Just trying to understand how much you think your shipments would have been up in July without these shortages, for instance? Thanks.
Hilton Schlosberg: Okay. So let me deal with the first issue first, if I may. I spoke about optimistic about can supplies. I really didn’t talk about margins. You’ll recall on the last call, I spoke about the issues that we were confronting with margin pressures like most other beverage companies. And where we are right now with aluminum, I mean, nobody knows. So you can talk to the leading banks in the field, which we do on a regular basis, and they really are pulls apart about their projections for aluminum in 2022, let alone 2021. So the last couple of days, you’ve seen a spike in the Midwest premium from this tax that is expected to be imposed on Russian aluminum. And as you know, the Midwest premium is strongly factors the last ton of aluminum to enter the U.S. and the cost of that. And so we’ve seen a spike in the Midwest premium. And we continue to see spikes in aluminum. So from that score, I think we just are in uncharted territory. I’ve been in this business for a long time, as you know, and I’ve never seen aluminum where it’s at right now. And I’ve never seen the Midwest premium at these kind of levels. So aluminum, I really cannot talk about. And also when you look at our business and you look at the factors that really have affected gross margin, number one, the fact that we’re selling a lot more internationally. So I talked earlier about 37.4% of our sales in the quarter outside of the U.S. 30% last year, that obviously impacts margins. We are importing cans from a number of countries that obviously impacts margins. In fact, the China and India cans that we are using in the United States and in EMEA will only be filed in August and July, and they will be filled this month, so that in itself, the imputation will impact gross margins. And then to cap everything else, we have ingredient issues. We had ingredient issues, as we mentioned, in July, which again reduced the amount that we would actually sell because we didn’t have sufficient ingredients to meet themselves, particularly with NOS. And so there are a number of factors that are increasing our cost of goods. And last quarter, I said I didn’t think that margins would get better in the second and third quarters. I read they will not – I think margins will deteriorate in the third quarter. In the fourth quarter, we’re getting some relief in terms of supplies from the U.S. on cans that are – have been contracted for and they were contracted for two years ago. And we saw the opportunity to work with two major suppliers to get additional cans produced in the U.S., and that’s why we have two new supplies opening, and we are an important and an anchor customer of both those facilities. But even that, you’re still dependent on aluminum. We have some hedges in place, but obviously not enough to take into consideration the amount of sales and the amount of consumer demand that is out there. So that’s a long-winded way of saying, I think, answering your question and as best as I can. And then just getting to your second question, because you’re really only allowed one, but to get to your second question, we have quantified or try to quantify the impact on can shortages in July and in this quarter and in the – potentially in the third quarter, but I really don’t want to – I’m not comfortable with those numbers yet. A lot of detailed work is being done on them. And I just – I can’t in good contents give those numbers because we still are in the throes of kind of finalizing what we think is probably correct. Rodney mentioned in his script earlier that a number of the bottlers, he mentioned particularly in EMEA, but there were cases in the U.S. as well, and there was a substantial case in the U.S. where the bottlers were obviously focused on other things in the quarter and were producing Coca-Cola brands. And as a result, I think we – our production got moved from July to August, so when I look at July, it doesn’t – I don’t get overly concerned because I know the sales are going into August.
Rodney Sacks: Perhaps, if I just on the shortage level, just to add that when we buy cans in contracted for our annual amount, they usually are sort of reasonably flat line across the year. And we used the first half of the year to build up can inventories and finished product inventories with ourselves and our bottlers. Earlier this year, obviously, demand sort of was strong, and so we really didn’t have that opportunity. So what has happened is that in June and July, which is your normal peak months, the demand has been higher, but our supply has been more level until we can get more can inventories into the market. So what happened is just that we have had a sort of a heartened increased shortage in the last month and July and probably will be a little bit in August. And then obviously, as we start increasing our – the cans we’re getting in, and then we’re able to balance it more and our demand balances more, we’ll start to have less of a different delta between these demand and supplier and eventually be able to – we’re hoping to able to build up our inventories and supply back to normal by the end of the fourth quarter or during or by the end of the fourth quarter.
Hilton Schlosberg: Yes. No one’s comfortable with the level of finished goods inventories that we’re running at, but it’s a sign of the times. I mean, we’re doing everything we can to supply our customers. And that’s why we spoke about freights. Freight is a big issue, not only getting raw material ingredients into co-packing system and into our bottling system and – but also distributing from our co-packers. And obviously, the one goes into cost of sales and freight out goes into operating expenses. So that’s why you’ll see freight really hitting both of those line items.
Operator: The next question will come from Andrea Teixeira with JPMorgan. Please go ahead.
Andrea Teixeira: Hi. Thank you. Hi. Good afternoon.
Rodney Sacks: Hi.
Hilton Schlosberg: Hi, Andrea.
Andrea Teixeira: How are you Hilton? Hi.
Hilton Schlosberg: I’m good.
Andrea Teixeira: Yes. Just on the gross margin, because your gross margin comments were very helpful and given this deterioration obviously that its probably here to stay in the next few quarters. How are you thinking about pricing? Obviously, you can’t supply the service levels that are used to with the retailers. So is that is something that takes – obviously, you have to take into account? Or perhaps as you get more informed on how the aluminum cost will evolve, you may contemplate it again?
Hilton Schlosberg: Yes. With regard to pricing, we continue to evaluate pricing, honestly, on a very, very regular basis, if not weekly. So we continue to evaluate it, and we want to make a good decision. Last time around, as I mentioned on previous calls, we went out alone, and we would like to have been in a situation this time where we followed our competitor, but we have to evaluate, obviously, the business as we see it and the impact for us. What we’ve done is we’re reducing our promotional allowances. So we’re taking a price increase the other way, through reducing promotional allowances, but the impact of that reduction in the second quarter was not as we would have liked. So we are – we really put the accelerator down and are more aggressive in reducing our promotional allowances. But we are continuing to evaluate the pricing and price increases. And then I have to leave this call with my favorite saying, and that is, we don’t bank gross profit margins, we bank gross profit dollars. And to me, the fact that we’re doing everything we can to satisfy our customers as best as we can is impacting gross profit margins. But at the end of the day, we don’t want to lose gross profit dollars, which is really important to ensure the sustainability of the brand and that’s the most important thing for us right now.
Andrea Teixeira: Thank you. That’s fair. Thank you, both.
Rodney Sacks: Yes. Basically, just make it clear, at this point, we are watching and we’re not planning a price increase. So we’re not adverse to a price, but we’ll wait and see what the market does and what our competitors do.
Andrea Teixeira: Thank you, Rodney.
Operator: This will conclude today’s question-and-answer session. I would now like to turn the conference back over to management for any closing remarks.
Rodney Sacks: Thanks very much. Thank you, everyone, for your continued interest and support of the company. We continue to believe in the company and our growth strategy to remain committed to continuing to innovate, develop and differentiate our brands and to expand the company, both domestically and abroad. And in particular, expand distribution of our products through the Coca-Cola bottler system internationally. We believe that we will be able to navigate through the challenges ahead as a result of the COVID-19 pandemic and hope that this unfortunate situation will resolve itself in the near future. We believe that we are well-positioned in the energy drink category and will continue to be and are optimistic about our total portfolio of energy drink brands. We hope that you will stay safe and healthy. Thank you very much for your attendance.
Operator: The conference has now concluded. Thank you for attending today’s presentation. And you may now disconnect.